Operator: Hello, everyone, and welcome to the Lindblad Expeditions Fourth Quarter and Full Year Financial Results. My name is Bruno, and I'll be operating your call today. [Operator Instructions] I will now hand over to your host and Chief Financial Officer, Craig Felenstein. Please go ahead.
Craig Felenstein: Thank you, Bruno. Good morning, everyone, and thank you for joining us for Lindblad's 2023 fourth quarter and year-end earnings Callc With me on the call today is Sven Lindblad, Lindblad's Founder and Chief Executive Officer. Sven will begin with some opening comments, and then I will follow with some details on our 2023 financial results and current expectations for 2024 before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website. Before we get started, let me remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of forecasts or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release. And with that, let me turn the call over to Sven.
Sven-Olof Lindblad: Thanks, Craig, and good morning, and thank you all for joining us today. When I returned to CEO of Lindblad Expeditions in June of 2023, I laid out for you a variety of priorities that I believe would usher in a new era for our enterprise. With eight months now in the rearview mirror, I would like to take a few minutes to discuss the progress we have made in each of these areas while providing some color on what drove our success this past year and why we are excited about the growth opportunity we have in the months and years ahead. First and foremost, the new era starts with putting the pandemic definitively behind us. The record financial results we delivered in 2023, including 35% revenue growth and adjusted EBITDA of over $71 million, a pretty good indication that we are well on our way to achieving that outcome. Craig will go through our financial results in a moment, but we took nearly 30,000 guests more than ever before to the remarkable destinations we have been visiting for decades. And most importantly, the guest feedback has been nothing short of extraordinary. All the drivers of our business were up this year, led by a 33% increase in guest nights, as we began to fully utilize our expanded fleet. As we increase capacity, we also saw meaningful growth in net yield, up 12% to $1,097 per guests night and occupancy taking up to 77% from 75% a year ago. I know there is a tendency to focus on occupancy, but in isolation, it is a misleading metric, especially in our business. Understandably, at the big cruise lines, there is a commitment to 100% occupancy even if the last percentages represent very low or perhaps even no yield. The reason is obvious, the onboard spend is meaningful in the casino, shops, spas, bars, land excursions, etc. So even if you add guests for free, you would be better off. In our case, there is minimal onboard spending. So that approach has absolutely no value. Also, we are extremely committed to maintaining price integrity, given long-term ramifications as there is no benefit in adding occupancy if yield decreases proportionately. So price integrity is a key metric and essential to preserve even if occupancies move ahead a bit slower in the short term. The second catalyst of our new era is capitalizing on the massive growth of interest in expedition travel. The poll to connect authentically with nature and culture is growing by the day, and there's no other company in this segment with our track record or with our commitment to providing authentic and immersive itineraries. This past November, we further solidified our ability to take advantage of this growth with the extension and expansion of our 20 year old partnership with National Geographic, one of the world's most respected and beloved brands. This new agreement, which runs through 2040 will enable us to grow our brand on an international scale and reach more citizen explorers than ever before. Beyond enhancing our shared expertise and the onboard experience for our guests, it will increase the earnings potential of the company by opening larger addressable markets through new worldwide audiences. In short, it will further solidify our position as the leader in expedition cruise and experiential adventure in travel, a segment we have been leading for more than 50 years. It also brings with it the power of Disney, the world's largest media and entertainment conglomerate. They have so many different capabilities to promote and activate the market. And in past months, our team, along with their marketing and sales teams have been deep in the strategy and tactical plans on a regular basis meeting monthly to plan specific initiatives to drive business. By year's end, we will be able to report with far more accuracy the detail about how the anticipated significant National Geographic and Disney effect, about the National Geographic and Disney effect, but harnessing that collective power is extremely exciting at a time with a poll to connect authentically with nature and culture is growing by the day. I firmly believe that this will result in meaningful accelerated growth in terms of occupancy, yield protection and expansion of the fleet for years to come. Third, in this new era is building our technology to support innovative ways to drive the business. In many ways, 2023 was a year of transition on this front as we launched our new reservation system in May, the final building block in our digital stack transformation, which also included a new CRM, a new connect management system, a new digital asset management system and a new customer data platform. Not surprisingly, the rollout of the reservation system was complex with numerous challenges that had to be solved. It was certainly a distraction for various parts of our organization, but we kept our focus on our guests and have put most of those challenges behind us. We still have ways to go before we finally exploit the possibilities that these systems provide, but we are already seeing record bookings coming through our website. We are achieving higher conversion rates across all parts of the funnel and we are delivering stronger guest service metrics at our contact center. A fourth pillar in this new era is reconnecting with our community in creative ways and creating the most modern marketing and sales platform to propel growth. The new agreement with National Geographic and our upgraded technology platform will certainly be a big part of that moving forward, but we are already reaching new audiences. With an expanded sales team and upgraded digital lead generation capabilities, we have been focusing on driving first-timer bookings through elevated search campaigns to capture and convert more prospects than ever before. Growing first timers is critical and that repeat behavior is significant, and they become the key community to propel growth. A new era also means bring R&D back to the forefront in terms of new geographies, new experiences in parts of the world we have been visiting for years and integrating the ways we immerse our guests in these remarkable destinations. For 2024, we have developed a variety of new itineraries specifically designed to attract new guests. Most are shorter duration in order to get people into the system for the first time. Examples of a multi-month commitment in Iceland this summer and our recently launched collaboration with Food & Wine magazine, preparing 14 trips along the Columbia and Snake Rivers in Washington and Oregon with programming elements, wine selections and specials of guest selected by the editorial staff of Food & Wine. One of our biggest initiatives -- the biggest initiative, new initiative is a fly-in component for one of our Antarctica ships, creating itineraries that avoid crossing the Drake passage on some voyages and just one way on others. It also allows for people with more limited time to visit Antarctica. These offerings have literally flown off the shelves and are allowing us to connect with new travelers who wouldn't have been -- who wouldn't have considered this kind of expedition before. The last component of the new era, I mentioned, was maximizing our diverse portfolio of land businesses while looking for additional expansion opportunities either through new capacity or further diversification of land offerings. The investments we have made thus far in broadening the land portfolio has proven widely successful, laying the vision of expertise and entrepreneurial spirit of the founders with the operating and marketing power of Lindblad has grown our land portfolio from EBITDA of just over $3 million when we first acquired Natural Habitat to nearly $23 million in 2023, including nearly 30% growth year-on-year. This has not only created significant value for our guests and shareholders but also is a great calling card as we strategically look to find additional companies to join our family. So as you can see, the new era has clearly begun for Lindblad Expeditions and we are excited to further accelerate that new era in 2024. We start the year with a strong foundation of future bookings with the Lindblad segment pacing 2% ahead of where we were at the same point in 2023, despite having significantly less carryover business from cancellations during COVID. Excluding these carryover bookings, we would be 21% ahead of a year ago. There are a couple of headwinds to point out for the upcoming year. Due to the gang violence that erupted in Ecuador, on January 10, we canceled two voyages out of precaution in the first quarter, and there was some booking instability. Fortunately, Ecuador's young, energetic President seems to have quelled the violence. And for all practical purposes, the country has largely stabilized. We certainly are feeling no disruption of activity and bookings are returning to a more normal pattern. Another potential headwind in Q2 is the possible rerouting of water warships around the tip of Africa to avoid the Red Sea due to the recent attacks from Yemen. We did not operate with guests in the Red Sea. But if we reroute the transit, there would likely be a couple of voyages impacted. While these isolated events are certainly frustrating, we have come to expect a certain amount of external disruption, and these short-term headwinds tail in comparison to the broader opportunity. As to the -- to expedition travel more broadly and incorporating adventure travel, this still represents one of, if not the largest growth segment in the travel industry. I get why nature and particularly the concern over its long-term future is fueling interest. And while there is much more competition than ever, I believe that a very strong brand will inevitably be elevated by expanding interest. So I'm really excited about the next years as we, together with our partners with National Geographic and Disney, build and grow our business, expand our ideas, our relevance in supporting necessary strategies that help protect environments, communities and history. So many thanks for your time. And now I will turn it back to Craig.
Craig Felenstein: Thanks, Sven. As Sven highlighted, Lindblad delivered record revenue and EBITDA in 2023 as we further ramped operations with broader deployment of our expanded fleet and additional departures across our platform of land-based businesses. As we have discussed previously, the earnings potential of the company has increased considerably over the last several years with the addition of over 40% more ship capacity and three industry-leading land operators. And the record results we delivered in 2023 demonstrates the opportunity we have across our diverse portfolio of experiential offerings. Before we look ahead, let me take a few minutes to discuss our performance from this past year as we focused on further ramping ship operations, fueling the growth of our differentiated land portfolio and solidifying our overall infrastructure, technological footprint and marketing and sales capabilities to allow us to maximize the earnings potential in the years ahead. Total company revenue for the full year 2023 of $570 million increased $148 million or 35% versus 2022, as we continue to ramp operations with strong growth across both our Lindblad and Land Experiences segments. At the Lindblad segment, revenue of $397 million increased $119 million or 43% year-on-year, primarily due to a 33% increase in available guest nights from broader utilization of the fleet. Additionally, net yield increased 12% to $1,097 per available guest night due to higher pricing and occupancy expansion to 77%, despite the significant increase in available guest nights year-over-year. As we further ramp occupancy towards historical levels, you can see both the revenue opportunity and the operating leverage inherent in our marine platform as we attract more and more guests while maintaining strong pricing discipline across the expanded fleet. Similar to our ship operations, our land portfolio is also delivering strong growth, driven by additional departures and guests across each of our four unique businesses. Land Experiences revenue of $172 million increased $29 million or 20% versus a year ago, led by Natural Habitat's polar bear and Africa trips, DuVine's cycling tours across Europe, Classic Journeys walking tours in Italy and Morocco and Off the Beaten Path trips to the U.S. National Parks. The strong revenue growth across both segments generated significant operating leverage in 2023, with total company adjusted EBITDA of $71 million, an increase of $83 million versus a year ago, driven by a $78 million increase at the Lindblad segment and a $5 million or 29% increase at the Land Experiences segment. Looking a little closer at the cost side of the business, operating expenses before depreciation and amortization, interest and taxes increased $65 million or 15% versus 2022, led by a $39 million or 14% increase in cost of tours versus a year ago, primarily related to operating additional ship and land-based itineraries. Fuel costs decreased year-on-year as increased usage from operating additional trips was more than offset by lower pricing versus a year ago. Fuel was 5% of revenue in 2023 as compared to 7% of revenue in 2022. Sales and marketing costs increased $10 million or 17% versus a year ago, primarily due to higher commissions and royalties related to the increase in revenue and from increased search and direct mail marketing to drive future bookings. And G&A spending increased $15 million or 17% excluding stock-based compensation and onetime items versus a year ago, primarily due to higher personnel costs as we ramp operations and increase credit card commissions related to final payments for upcoming itineraries and higher deposits on new reservations for future travel. Total company net loss available to stockholders of $50 million or $0.94 per diluted share improved $66 million versus the net loss available to common stockholders of $116 million or $2.23 per diluted share reported a year ago. The improvement reflects the significant ramp in operations, partially offset by $8 million of additional interest expense net associated with the higher rates and increased borrowings mostly related to our debt refinancing in May of 2023 and a $7 million increase in stock-based compensation primarily related to the increase in value of Natural Habitat. Looking quickly at the fourth quarter of 2023, revenue increased 6% compared to the same period in 2022, due in large part to broader utilization of the fleet and additional land trip operations. Available guest nights at the Lindblad segment increased 18% due in large part to an additional transit voyage from Southeast Asia to French Polynesia on the resolution as well as from the timing of dry docks. As I highlighted on the last call, while taking guests on our transit voyages generates additional revenue on voyages that would normally be non-revenue generating, they do have a negative impact on occupancy and yields, which was evident in the Q4 metrics. The decrease in occupancy versus a year ago was predominantly due to the additional transit nights for sale as well as from increased cancellations on our Egypt itineraries due to the Israeli-Hamas war. Adjusted EBITDA in the fourth quarter of $4 million increased $7 million from the fourth quarter a year ago, as the majority of the revenue growth in the quarter fell to the bottom line with operating expenses before depreciation and amortization, stock-based comp, interest and taxes up only 1% versus the fourth quarter a year ago. Turning to the balance sheet. We ended the year with $187 million in cash and short-term securities, an increase of $58 million versus the end of 2022, primarily driven by the net proceeds of $67 million from the debt refinancing back in May of 2023, which was offset by free cash flow use of about $4.5 million. Free cash flow for the year included $25 million in cash from operations, led by the improved operating performance, which was partially offset by interest payments of $44 million. Please note that cash from operations was also negatively impacted by the use of future travel credits, which made up approximately 8% of ticket revenues in the current year. Cash from operations was more than offset by CapEx of $30 million, mostly from routine vessel maintenance as well as from investments in our digital initiatives. Looking ahead, we are excited by the sustained operating momentum across our expanded platform, and we anticipate significant growth in 2024, driven by higher occupancies and increased net yields across our fleet as well as additional travelers across our growing land businesses. The Lindblad segment is in a strong booking position for the upcoming year and the booking momentum has only accelerated with booking since the start of December for travel in 2024 up over 50% versus the same period a year ago for 2023. Additionally, we have already booked over 87% of our full year projected ticket revenues for the year. Given the strong booking trends we are generating, we expect total company tour revenue in 2024 between $610 million and $630 million and adjusted EBITDA between $88 million and $98 million. Please note that these projections reflect the increased royalty rate associated with the expansion and extension of our National Geographic relationship as well as the impact of the voyage cancellations that Sven mentioned earlier. In addition to the robust P&L growth in 2024, we also anticipate strong free cash flow generation, excluding any growth CapEx. Maintenance CapEx is expected to be approximately $25 million to $30 million in the current year, which includes vessel maintenance as well as some additional investments in our digital initiatives. We do anticipate buying part of the minority interest in our land companies during the first quarter, and we will continue to explore additional growth opportunities in the year ahead, including further diversifying our product portfolio or opportunistically expanding our fleet to capitalize on the continued growth in the demand for experiential travel. Thanks for your time this morning. And now Sven and I would be happy to answer any questions you may have.
Operator: Thank you. [Operator Instructions] Our first question comes from Steve Wieczynski from Stifel. Steve, your line is now open.
Jackson Gibb: Hi This is Jackson Gibb on for Steve Wieczynski. So we've seen a fair amount of these disruptions over time and kind of how they're magnified by your scale and in some cases, the uniqueness and your replaceability of the destinations you visit. But is there anything about the new expanded Disney deal that might help mitigate that impact by maybe filling funnel more from the demand side moving forward? Any kind of specifics about how you're thinking about the deal might help mitigate impacts from shifting itineraries would be helpful.
Sven-Olof Lindblad: Yeah. That's an interesting question. Well, first of all, the -- as a consequence of this new deal with National Geographic and by extension Disney, our marketing prowess or power, if you will, will increase, we believe, rather dramatically. Obviously, we will know more specifically and in greater detail by the end of the year how that manifests itself in terms of combating situations around the world that periodically arise, we will have to see. I mean one of the things we have done -- first of all, there's always been -- if you think about going back decades, there's always been something almost invariably, every now and then, you get through a year where absolutely nothing happened in the world that has any consequence or disruption in any way. But generally speaking, there's always a couple of things -- two or three things that cause you to have to maybe reroute a ship or diminish booking somewhat, in certain instances, significantly. So most areas we're in are -- we're not in for extended periods of time, except for places that are traditionally very, very stable, Alaska, Galapagos, okay, we had some recent disruption, but that's not -- historically, there has not been disruption there, Iceland, Antarctica, the Arctic. So we're very conscientious of making sure that we're not in places in a significant -- for a significant amount of time that are questionable in terms of the degree to which political influences and such can affect them. So I would say that -- put it this way, we are going to be strengthened as a consequence of this relationship. Now we have a triangle. In essence, we have National Discovery, Disney and ourselves, and that's a real powerhouse. So anything we face should be faced much -- in a stronger way than we would have without them as part of it. I hope that answers your question.
Craig Felenstein: Yeah. Thanks, Sven. The other side of this -- yes, thanks, Sven. Jackson, the other side of this from my perspective is that there's two aspects of our business that are pretty unique. One is we should have fair enough flexibility as Sven kind of highlighted, which is because of we are expedition by nature and we're less reliant on individual ports or resources, we can't take our ships and move them when these disruptions happen as long as there's enough notice to ultimately sell whatever the change, ultimately we're going to do is. The second thing is the company has scaled up pretty dramatically. If you think about where we were back in 2016 before we embarked on our expansion of our overall fleet, the fleet itself is up over 60% in terms of size. And then when you look at the land companies that we've expanded, the company's earnings power has increased so dramatically that these kind of issues, the ones that you're seeing in something like Ecuador potentially in the Red Sea have much less of an impact than they ever had before. The second thing on that front is we will continue to expand the company. As we continue to increase the scale and diversify the company, these things will continue to have less and less of an impact as we move forward. So to echo Sven's point, it is something that is inherent in our business, but traditionally, the impact has not been significant or it will be even less so here moving forward as we continue to scale.
Jackson Gibb: Okay. Awesome. That's super helpful. I guess on the subject of expanding the company, we've seen a couple of your larger peers put in new ship orders, obviously, much different size and scale and different areas of operation. But is that something that you're considering more seriously now? And I guess, a different way, what would have to happen for it to be the right time to order a new ship to make an addition to the fleet?
Sven-Olof Lindblad: Yeah. So first of all, it's absolutely clear that the most valuable thing, the single most valuable thing that we can do as a company and our focus on doing as a company is maximizing the inventory that we have already bought and spent money on acquiring, right? So getting the occupancies back up and making sure that the yields are maintained is the primary key element of growth, obviously, internally. So this year, we will learn a lot about what this triangle, and it's the first time I've actually referenced it in that way. Disney, National Geographic and Lindblad, what the power of that is and assume as we understand that somewhat better, that will accelerate in all likelihood the commitment to acquire new vessels, whether that is acquiring vessels that exist that are no longer viable in the companies where they live or building new ships. Those are two avenues. If you think about our fleet broadly, up until 2015, there was -- that we -- up until 2017, we hit -- always bought existing ships, modified them and made them suitable for our purposes, and then we started building ships. So we only built four new ships, and we have acquired a lot more than that over time. And so going forward, we will also be looking at these two avenues: are there existing ships that are suitable to us that need a happy home or are there -- or should we build -- be building new ships? And we will begin looking closely at that in the not-too-distant future as to which of those avenues is most suitable going forward.
Jackson Gibb: Okay. Understood. And if I could just squeeze in one more. I just wanted to get some updated thoughts on how you're thinking about buybacks. You've been unrestricted by -- from a covenant perspective since February 2023, seem to have fairly ample liquidity. Just wanted to get your perspective on how you're thinking about share repurchases now?
Craig Felenstein: Sure. Thanks, Jackson. So I would say we really haven't changed the way we look at share buybacks, really since we put our share buyback plan in place prior to the pandemic. And that is when you think about the cash at the company and what we want to do with that cash, our first priority is to grow the business organically. Our second priority is to look for M&A opportunities that will ultimately increase the earnings potential of the company here moving forward and increase the opportunity to grow. And then third, we have no hesitation about returning capital to shareholders, either through buying back shares or obviously lowering our outstanding debt when we have the ability to do so. So I would say that's how we weigh all of our cash return at any given moment, and we'll continue to do that moving forward.
Jackson Gibb: Got it. Thanks, great. That’s all from me. Thank you.
Operator: Our next question comes from Eric Wold from B. Riley Securities. Eric, your line is now open.
Eric Wold: Thank you. Hi, everyone. Just a couple of questions for me. I guess first, Craig, if we think about the obviously strong growth in EBITDA year-over-year, we think about the numbers came in towards the lower end of the guidance range that you gave or kind of reaffirmed on the Q3 call. I know that there's disruption from the Israeli-Hamas war, which was known at that time. Maybe just kind of give us a sense of kind of what are the biggest factors that kept EBITDA towards the lower end versus possibly getting up towards that higher end?
Craig Felenstein: Sure. Yeah. I think you pretty much touched upon it, Eric, more than anything else, right? So when you look at the fourth quarter, everything pretty much came in where we anticipated it to come in from both revenue and cost perspective with the exception of the cancellations that came because of the conflict that was happening over in the Middle East. So when you ultimately have cancellations, they tend to have a pretty dramatic effect on revenue and it tends to fall right to the bottom line. So in the absence of that, the numbers certainly would have been a little bit higher, but the expectations for everything else pretty much came in where we thought they would.
Eric Wold: Okay. Perfect. And then kind of a broader question. I know you've had now a number of months of working with kind of the expanded National Geographic, Disney team since you announced the extended agreement. I guess maybe give us, if you had more time to work with them, updated sense on, I guess, timing of when you expect kind of the full effect of kind of the Disney travel team to really start working with yours and start pushing the Lindblad tours? How visible do you think this relationship will be to consumers now versus maybe previously how visible consumers know that you're a partner or kind of working with Disney and a part of that relationship? And then any sense on how those teams will kind of market your voyages relative to Disney's own mass crews and kind of how that will be kind of -- since you kind of parsed out in kind of their efforts, so to speak?
Sven-Olof Lindblad: Yeah. So this is a multifaceted answer because it's a multifaceted campaign, if you will. So there are three buckets of investment in terms of marketing. One is a joint investment between Disney and ourselves, which is managed jointly. There's the National Geographic expeditions investment and there's our investments, all pulling in the same direction because we have no longer any attribution connected with how business comes in. We -- for the 20 years previously, we've had attribution. There's specific business that's coming through the National Geographic expeditions channel and through our own. And those have different financial mechanisms connected with it. That has been completely eliminated. So we're all pulling in absolutely the same direction. None of us care where the business comes from, which of the channels it comes from and there's value in all of the channels. So when you think about the addition of Disney, right, you had National Geographic expeditions in Lindblad, that's been going on for 20 years. Now Disney comes into the mix as part of it. They have extraordinary distribution channels. When it comes to -- I mean they have a huge sales force, for example, that accesses the trade. They have so many sort of distribution avenues, where they are intending to showcase Lindblad Expeditions, National Geographic. The teams are meeting regularly month to month on a disciplined basis for an extended period of time to develop strategies and tactics. And periodically, we get together on a wider basis at different levels of engagement between ourselves, the Disney team and the National Geographic expedition's team to deal with longer-term issues that we believe can drive the business. So the engagement between the organizations has just been hugely cooperative and very excited and very, very committed to the idea of growing our business together because there's lots of value for all parties if we do that. The good thing about a really, really good agreement is where you pretty much assured that everybody that's part of that agreement gain significant value as a consequence of growth, and that's what this agreement is.
Eric Wold: Helpful. Thank you. Thank you, both.
Operator: [Operator Instructions] Our next question comes from Alex Fuhrman from Craig-Hallum Capital Group. Alex, your line is now open.
Alex Fuhrman: Hey, guys. Thanks for taking my question. It sounds like you're obviously guiding to pretty significant revenue growth this year and the vast majority of the revenue that you're projecting is already on the book. Can you help us square that a little bit with a relatively modest 2% increase in bookings compared to the same time last year? Are you starting to see people maybe book a little bit closer to the departure time now that it's harder for them to cancel or reschedule their voyages?
Craig Felenstein: Yeah. So let me touch on that, and then I'll turn it over to Sven for any comments. The 2% increase in terms of revenue today is very misleading because we had this significant pile of money that was in -- from cancellations that happened -- cancellations from deferrals that happened during COVID into 2023 that were on the books at this point versus what we're seeing this year, which is we had less of the carry in, but the week-on-week growth of bookings is so much more significant than it was a year ago in terms of the weekly bookings. So what we're seeing is that 2% growth number is expanding rapidly every single week. So if I looked at it several weeks ago, it was down and now it's already up and it will continue to head in that direction because, again, as I mentioned in my comments, if you look at the bookings from kind of December 1 through today, we're up 50%, 5-0, versus where we were in the same bookings a year ago. So the momentum is really, really strong, and it has really just continued, so we fully anticipate that, that opportunity will continue to expand moving forward. Sven, I think you want to add.
Sven-Olof Lindblad: Yeah. Well, just to clarify, so when -- during COVID, we issued a ton of -- and Craig can give you the actual amount of what's called future travel credits, right, rather than canceling, they got a credit for the future. So we already received the money and then they were able to travel in the future. And so last year, a lot of -- a significant number of those credits were utilized and were part of the -- or considered part of the revenue. So this year, it's all new people, by and large, very, very few future travel credits. So in a sense, the 2% is really misleading. If you exclude that particular metric, it'd be more like 20%, 21% ahead and 50% in the last couple of months in terms of future growth. So you got to take that in context.
Alex Fuhrman: Okay, guys. That’s really helpful. I appreciate that. Thank you, both.
Sven-Olof Lindblad: Thank you.
Operator: We have no further questions. So I'd like to hand the call back to you, Craig.
Craig Felenstein: Thank you, operator. Thank you, everybody else for joining us today. We appreciate your time. As always, if you have additional questions, please reach out. And we look forward to hearing from each of you. Thank you.
Sven-Olof Lindblad: Thank you very much.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines. Thank you.